Operator: Welcome to The Brink’s Company’s Fourth Quarter 2016 Earnings Call. Brink’s issued a press release on fourth quarter results this morning. The company also filed an 8-K that includes the release and the slides that will be used in today’s call. For those of you listening by phone, the release and slides are available on the company’s website at Brinks.com. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Now for the company’s Safe Harbor statement. This call and the Q&A session will contain forward-looking statements. Actual results could differ materially from projected or estimated results. Information regarding factors that could cause such differences is available in today’s press release and in the company’s most recent SEC filings. Information presented and discussed on this call is representative as of today only. Brink’s assumes no obligation to update any forward-looking statements. This call is copyrighted and may not be used without written permission from Brink’s. It is now my pleasure to introduce your host, Ed Cunningham, Vice President of Investor Relations and Corporate Communications. Mr. Cunningham, you may begin.
Ed Cunningham: Thank you, Denise. And good morning, everyone. Joining me today are CEO, Doug Pertz; and CFO, Ron Domanico. This morning, we reported results on both the GAAP and non-GAAP basis. The non-GAAP results exclude certain retirement expenses, reorganization and restructuring costs, acquisitions, dispositions, and tax rate adjustments. In addition to these items, our non-GAAP results exclude Venezuela, due to a variety of factors, including our inability to repatriate cash, Venezuela’s fixed exchange rate policies, continued currency devaluations, and the difficulties we face operating in a highly inflationary economy. We believe the non-GAAP results make it easier for investors to assess operating performance between periods. Accordingly our comments today including those referring to our guidance will focus primarily on non-GAAP results. A summary reconciliation of non-GAAP to GAAP results is provided on Page 4 of the earnings release and more detailed reconciliations are provided in the release, and the appendix to the slides we’re using today, in this morning’s 8-K filing, and on our website. Page 9 of the press release provides a summary of several outlook items, including guidance on revenue, operating profit, earnings per share, and adjusted EBITDA. I’ll now turn the call over to Doug.
Doug Pertz: Thanks, Ed. Good morning, everyone, and thanks for joining the call. This morning, we reported much improved fourth quarter and full-year results, ending 2016 on a very positive note that strongly supports our trajectory for 2017 and beyond. Fourth quarter non-GAAP earnings grew 58% from $0.55 per share to $0.87 per share. Operating profit for this quarter was $77 million of 71% on an organic basis with an operating margin of 10% versus 6.6% in the fourth quarter 2015. Revenue for the quarter grew 10% on an organic basis helping support our 6% organic growth rate for the full-year. I'm especially pleased to report that the strong performance was partially driven by continued profit improvement and revenue growth in the US, along with improved results or both rev and margins in Argentina, Mexico and Asia. In Mexico, fourth quarter revenue and profit growth was driven primarily by continued growth in the retail sector with and customers. In the US, operating profit for the quarter was $8 million compared to a slight loss in the fourth quarter 2015. US revenue and profit benefitted from the previously announced sale of several 100 cash recyclers to a large retailer. In addition to an initial sale and installation revenue, this new business will also provide a stream of high margin recurring revenue in 2017 and future years. Looking ahead, we expect positive US year-over-year comparisons in 2017 and beyond, driven by our investments in new trucks and other strategic initiative. It's important to note that the fourth quarter is typically our strongest in most countries including the US, with the first half of the year typically the weaker part of the year. For example, our country wide operating margin in the fourth quarter up 10% compared with a full-year margin of 27.1%, clearly demonstrating the seasonality of the business. More importantly, the fourth quarter margin of 10% versus a year-ago margin of 6.6% demonstrates the material improvement in our overall performance. Our strong fourth quarter results helped push full-year earnings in 2016 to $2.24 per share, a 33% increase over 2015. Full-year operating profit was $207 million up 32% with a margin of 7.1%, a solid improvement over the 5.3% operating margin in 2015. On an organic basis, 2016 revenue rose 6% and operating profit was up 43%. Our 2016 adjusted EBITDA was $333 million. We make good progress over the last six months, and we're just getting started. We expect continued profit momentum in 2017 and beyond. On an organic basis, which excludes the impact of foreign exchange translation, acquisitions and divestitures, our 2017 non-GAAP guidance includes 6% revenue growth, operating profit growth of 18% to 23% to a range between $230 million and $240 million. And earnings growth of 17% to 21% to a range between $2.45 to $2.55 per share. Our 2017, adjusted EBITDA is expected between $370 million and $380 million. This guidance includes a projected negative foreign exchange impact of $80 million on revenue and $15 million on operating profit which equates to $0.18 per share on earnings. More information regarding our 2017 guidance including assumptions for organic growth and foreign exchange is provided on page 8 of the earnings release. In addition, Ron will provide a more detailed financial update in a few minutes. But first I want to review our longer term strategy and our plans to communicate the details of this strategy. I'll start by reinforcing our belief that there are no structural differences between the US business and our competitors operations. In fact, overall, we may be better positioned in our competition to drive shareholder value. Brink's is already the largest cash management company in the world, about 50% larger than our next largest competitor, with strong market positions in key countries and an unmatched global infrastructure. Compared to our four largest competitors, I believe we have at least as many and probably more opportunities to grow both our revenue and our margins. We have solid market positions in many countries, including the number two market position in seven of our 10 largest countries and the leading market position in the other three of the top 10. These top 10 countries represented about 80% of our revenue in 2016. Our market position in each of these countries represents significant opportunities to improve margins and grow revenue, both organically and through acquisitions. In fact, in most of these countries, we're positioned better than both the number one player and other smaller competitors to grow through acquisition due to the relative market positions we have and to achieve greater cost synergies. Our strategy is designed to achieve both organic and inorganic revenue growth while driving margins consistently higher. We've got a lot of work to do, but I see no reason while we can't meet and apparently pass the highest margins and growth level in the industry. It's about leadership, culture, strategy and execution. I firmly believe that our strategy will drive significant profit growth and shareholder returns over the next three years. Today, we provided guidance on our 2017 year. At our Investor Day on March 2nd, we'll share the details behind our three-year plan including 2019 financial targets. I'll now provide a quick summary of our strategy including some of the initiatives that are already well underway. Many of you're already are familiar with the primary components of our strategy which we summarize using three simple acronyms, APG, CTG, and IDS. APG stands for Accelerate Profitable Growth. We have opportunities to organically grow revenue in high margin lines and business, such as copy safe services and recyclers outsource money processing and brings global services. Our plan calls for growing revenue with both large and small financial institutions global services. Our plan calls for growing revenue with both large and small financial institutions or FI's, an increasing penetration in the large and underserved retail market. And with the debt to adjusted EBITDA ratio, now well under one times, we have the financial capacity to complete accretive acquisitions in both core and adjacent markets. The centerpiece of our plan is to achieve operational excellence and close the gap or CTG between our margins and those of our most successful competitors. We've already begun an aggressive drive to improve internal productivity, optimize cost, and achieve industry related margins. The margin gap is clearly widest in the US which is our greatest new turn opportunity to create substantial value. But we also have specific strategies to expand margins in other countries. For example, both Mexico and Canada, we are implementing plans to improve our labor cost and other operations efficiencies to increase margins. The third component of our strategy is to introduce differentiated services to our customers by strengthening and leveraging our IT capabilities. Our IT strategy and systems will also drive improved service levels and operational efficiencies. Along with the track and trace customer portal, the systems will include productivity tools such as dynamic rod optimization and fleet telematics. On Investor Day, Rohan Pal, our Chief Information and Digital Officer will share plans for leveraging IT to drive both revenues and operational excellence. Some of you may recognize this, I'll ask you to the slide on slide 7 from our last earnings call in October. It depicts some of the key initiatives and the driving revenue and margin growth over the next three years. Our strategy encompasses a broad range of profit improvement actions but the primary focus is on what we call breakthrough initiatives which include reducing overall fleet cost, reducing labor cost per truck, optimizing our branch network, and reinvigorating our sales and marketing efforts. For example, in the US we are aggressively investing a smaller more efficient vehicle that can accommodate both 1% and 2% crews. The initial cost of these new gas powered trucks is about 35% to 40% below the cost to replace the old heavier diesel power truck. This initiative will substantially reduce the average age of our fleet, improve service levels to our customers and reduce overall expenses related to fuel, maintenance and repair. Deploying smaller crews in the US and in other countries as well is a great opportunity and eventually reduce our labor cost. At the end of 2016 for example, in the US we had about 300 trucks operating with one person crews. About 40% of these trucks were put into service during the fourth quarter. As a result, the cost savings impact was just starting to be felt in the last few months of the year. We are on track at about 400 trucks in 2017 including about 100 in the first quarter that were originally scheduled to be delivered at the end of 2016. These fleet related initiatives should have a significant impact on US margins and the ROI on these investments is very attractive. We'll provide the expected profit impact and returns on March 2nd. Reinvesting in our sales organization is another important algorithm of our plan. In the US, we are growing our sales forces aggressively to increase coverage of financial institutions and retail markets. We have great opportunities to grow account share with large institutions and to increase penetration in smaller banks that are currently under representative in our sales mix in our sales organization. On the retail side, there is significant growth potential in the large and relatively unvented retail market especially for our CompuSafe services and related higher margin offerings. As I mentioned earlier, our fourth quarter earnings were held by the installation of onsite cash recyclers for national retail. This new business will generate recurring revenue from service monitoring and cash in transit activities. In fact, the recyclers sold in 2016 alone should add an estimated $10 million in higher margin recurring revenue per year starting this year. Going to this service, the sale of CompuSafe services our key elements to our overall strategy, again more on March 2nd. The initiative I described in the last slide are primarily US based because that's where our greatest near term opportunities are but we're also executing on similar initiatives to improve margins in many other countries globally, such as France. And as we stated earlier implementing labor reduction around optimization actions in Mexico and Canada. I am also confident that we will leverage our organic revenue and margin improvements with accretive acquisitions. Ron is up next for brief financial review, then we'll open it up for questions. Ron?
Ron Domanico: Thanks Doug and good day everyone. Please direct your attention to slide 10 where I will discuss our non-GAP revenue. Adjusting for ForEx and the businesses we exited, revenue in the fourth quarter increased from $695 million in 2015 to $768 million in 2016; an organic increase of 10%. Latin America driven by Chile and Argentina and the US all delivered double-digit organic growth. The growth in the US was primarily due to sales of onsite cash recycling services to a national retailer which Doug already mentioned. Asia, Brazil and Mexico all grew organically in the mid to high single-digit range. EMEA grew 3%. Canada was flat. And France decreased 3% due to the loss of an airport guarding contract in early 2016. ForEx in the fourth quarter was $29 million unfavorable versus the same period last year, driven primarily by devaluation in Argentina and Mexico partially offset by stronger EI in Brazil. This positions reflect the previously announced exits from Ireland and Russia. For the year, revenue increased organically by $167 million or 6% to $2.9 billion. The organic growth rate of 6% is 100 bps better than the 5% we included in our full-year outlook at the end of the third quarter. All segments except Europe and France grew organically. Latin America up 25% followed by Brazil in payment services at a 11% and the other segments in the low to mid-single digit range. Year-to-date, ForEx was $198 million unfavorable as on average the US dollar strengthened against most currencies. In 2017, we expect revenue growth from price and volume increases in Latin America, Brazil and Mexico and volume growth in the United States from our increased focus on sales especially around our CompuSafe retail solution and mid-tier banks. Turing to slide 11. Fourth quarter 2016 non-GAAP operating profit grew organically by $35 million, or 71% to $77 million versus the fourth quarter 2015. Operating profit as a percent of revenue increased 340 bps from 6.6% in the fourth quarter 2015 to 10.0% in the fourth quarter of 2016. The improvement was driven by revenue growth and price increases in Latin America, improvement in the United States including the impact of the onsite recycler sales, improvement in Mexico in payment services and lower corporate expenses. For the full-year 2016, non-GAAP operating profit of $207 million increased organically by $68 million or 43% over 2015. Operating profit as a percent of revenue increased 180 bps from 5.3% in 2015 to 7.1% in 2016. The operating profit margin rate of 7.1% is 20 bps better than the high-end of the range that we included in our full-year outlook at the end of third quarter. The full-year improvement was driven by price increases in Brazil and Argentina including the inflation impact on ad valorem charges, margin expansion in France, revenue growth in Asia and lower corporate expenses. Mexico was flat as 2015 included again from a change in employee benefits. Lower resales in the United States were due to higher insurance and repair expenses. Full-year operating profit ForEx was $22 million unfavorable as the US dollar on average strengthened against most other currencies and especially strengthened versus the Argentina Peso. For 2017 operating profit outlook, we expect margin expansion in the US from new business and the efficiency in cost measures Doug mentioned earlier volume and price increases in Latin America and Brazil benefits from fourth quarter restructuring actions and growth in Mexico from labor and other cost improvements. We exited December with an operating profit margin rate in the United States that gives us confidence in our ability to achieve our 2017 margin target. Moving to slide 12. We prepared this slide and the next one to bridge operating profit, income from continuing operations and adjusted EBITDA. This slide is a bridge for the fourth quarter, and the next slide is a bridge for the full-year. The variance from prior year for each part of the bridge is included at the bottom of the slides. I want to highlight that we've adjusted the non-GAAP income tax rate to 36.9% which is the full-year rate for 2016 and about 210 bps better than we had estimated at the end of the third quarter. The reduction was primarily due to the early adaption of an accounting change in the fourth quarter. Fourth quarter 2016 non-GAAP operating profit of $77 million was reduced by $6 million of net interest expense, $26 million of taxes, and $1 million of minority interest to generate $44 million of income from continuing operations. This equates to $0.87 per share in the fourth quarter of 2016, which was up $0.32 per share or 58% higher than the fourth quarter 2015. Depreciation and amortization was $33 million. Adding back the $32 million of combined interest and taxes resulted in adjusted EBITDA of $109 million for the fourth quarter 2016. This was up $27 million or 32% versus the same quarter last year. Turning to Slide 13. Full-year 2016 non-GAAP operating profit was $207 million. Net interest expense was $19 million, which represents an effective borrowing rate just over 4%. Taxes of $69 million again reflect an effective tax rate of 36.9%. Minority interest was $5 million. Backing up interest taxes and minority interest from operating profit result in a $113 million of full-year income from continuing operations. This equates to $2.24 per share in 2016, which was up $0.55 per share or 33% higher than 2015. Depreciation and amortization was $113 million. Adding back the $89 million of combined interest and taxes resulted in adjusted EBITDA of $333 million in 2016. This was up $41 million or 14% versus last year. We expect the interest rate and effective tax rate to be at approximately the same levels in 2017. Continuing on slide 14. Capital expenditures in 2016 were $137 million versus a $116 million in 2015. This is in line with depreciation and in line with our prior guidance. The increase was driven primarily by the acquisition of additional armored vehicles that will reduce labor, drive down maintenance and repair expense and provide greater safety. We expect 2017 capital expenditures to increase as we plan to accelerate the level of armored vehicle replacement and continue to make other investments to drive operating profit improvement. Our 2017 plans also include investment in Mexico to relocate our operations to ensure we have the right footprint to drive performance improvement over the long term. In addition, we expect increased investment in our CompuSafe offering to support revenue growth not only in the United States but in all markets in 2017 and beyond. We're continuing to review the most cost effective way to finance future investments. We'll share more details about our expected future capital expenditures associated returns and financing decisions at our Investor Day on March 2nd. Moving to slide 15. This slide illustrates Brink's debt and leverage position. The bars on the left of the slide illustrate our debt at the end of 2014, 2015 and 2016. The height of each bar represents gross debt, the top part of each bar represents our cash position, and the bottom part of each bar represents the net debt position. As of December 31, 2016, our net debt was $247 million. This was down $22 million from year-end 2015. On the right of the slide, the bars illustrate our trailing 12-month adjusted EBITDA at the end of each of the three years. Above these bars is the ratio of net debt divided by trailing 12-month adjusted EBITDA. This leverage ratio of approximately 0.7 is the lowest amongst our peers and indicates that Brink's has a strong balance sheet to make accretive investments. Turning to slide 16. We believe that adjusted EBITDA is the most meaningful non-GAAP metric for stakeholders to assess cash flow. We calculate adjusted EBITDA on a trailing 12-month or TTM basis. TTM adjusted EBITDA at the December 31, 2016 was $333 million. This 14% increase versus 2015 was due to the organic increase in operating profit with a slight offset due to the ForEx impact on operating profit and depreciation, amortization and other. The adjusted EBITDA margin as a percentage of revenue however, increased to 160 bps to a 11.4%. And the Brink’s enterprise value divided by adjusted EBITDA resulted in a 1.3 turn expansion in the multiple from 5.7 times to 7.0 times. Perhaps of greatest relevance in the past year, the BCO stock price increased over $12 per share or approximately 43%. Looking at the right side of the chart on the top, you can see how the Brink’s multiple has increased in 2016. But on the bottom, you can see that our multiple is still materially below that of our closest peers. We believe this gap will close as we implement our strategy and consistently achieve projections. With that, I’ll turn it back over to Doug.
Doug Pertz: Thanks, Ron. In summary it was a good quarter and a good year with solid and accelerating growth. For the year, EPS was up 30.0%, organic operating profit was 43% growth and 30% 43% growth with an operating margin of 7.1%, that's 180 basis points improvement. Organic revenue grew by 6% and adjusted EBITDA with $333 million. As a new management team, one of our goals is to build confidence among investors. Our 2016 operating profit and earnings came in well ahead of our guidance and we expect further improvement in 2017. With our guidance for 2017, organic revenue growth of 6%. And after taking to account and overcoming FX related profit headwinds of $15 million, operating profit is expected to be between $230 million and $240 million with an operating margin approaching 8%. Adjusted EBITDA is expected to be in the $370 million to $380 million range, and that's before any acquisitions. We built an historical and future earnings growth rate in excess of 20%. Brink's is currently trading at just over a seven times trailing adjusted EBITDA and a forward multiple of about 6.3 times; both well below our peers as Ron suggested. We have a strategic plan in place and a strong team that is ready in execution mode. Several of our strategic initiatives are starting to produce results in the US and other countries. And there is more to come including additional internal initiative and potential acquisitions designed to drive revenue and profit growth over the next three years. We look forward to sharing the details of our plans and our three-year financial targets on March 2nd. Let's open up for call.
Operator: Thank you, sir. [Operator Instruction] And your first question will come from James Clement of Macquarie. Please go ahead.
James Clement: Doug, Ron, Ed, good morning and thanks in the best to taking my questions.
Doug Pertz: Thank you.
James Clement: Doug, I just want to be real clear about something, the 245 to 255 of EPS non-GAAP EPS guidance 2017 that is inclusive of a $0.18 per share headwind from currency. Is that correct?
Doug Pertz: That's correct. So, what we are doing is trying to reset based on FX at the end of the year, end of 2016, because we saw the additional FX headwinds in the latter part of the particular that provided us the reset for the FX at the end of the year and this number includes that which we stated both on a EPS basis, well, our EPS operating margin basis as well as EPS basis. So that's correct.
James Clement: All right. And then question on Mexico if I could. Big organic increase in operating profit in the fourth quarter. Have you already reset some of your labor cost that you discussed or is that still to come in 2017?
Doug Pertz: Jamie, part of that was the Mexican government approved a diesel fuel credit but it was a small portion. As you insinuated, a lot of the improvement was from changes that have been underway in the last few months specially on the labor side.
Ron Domanico: So I would actually Jamie say that part of it was that but a very relatively small part of that usually part of it is, it's a stronger fourth quarter plus you saw there was good revenue growth and that adds to obviously a better margin in the quarter, but we are just starting to this year implement the changes in the labor structure and the optimization of the routes and we should see this year and in next year both 2017 and 2018 substantial improved margins as result of those changes. And I will continue revenue growth on the retail side.
Jamie Clement: Gentlemen thanks very much for your time as always.
Doug Pertz: Thank you James.
Operator: The next question will come from Ashish Sinha of Gabelli & Company. Please go ahead.
Ashish Sinha: Hi. Thank you for taking my questions. I had a few, myself. Starting with the U.S. the strong organic growth you posted in the fourth quarter. I just wanted to dig a little bit deeper on it. And since we're speaking about that, I just had a clarification on CompuSafe versus cash recyclers. And is my understanding correct that they are two different products. CompuSafe is a slightly more advanced than a typical cash recycler. And if so, could you talk about the difference in the economics of both of these products, and if there is any cannibalization threat? Thank you.
Doug Pertz: Yes. It is very good question and I think that's something on March 2nd we should provide a lot more detail and background on it, maybe even have one there. Actually the – if you take a look at the continuum of retail offerings that we offer and the industry offers, I would start off with a safe, that is relatively what we call maybe a dumb safe. And that's it's just a safe without the interconnects, without the monitoring, without the ability to know how much the balances are, without the ability to give automatic credit etcetera, more of a dumb safe cheaper low end of it. Next in the continuum would be what we call CompuSafe which is really the modern day smart safe and that would be what we think as a opportunity for significant growth and obviously what our competitor has been doing a very good job of selling in the marketplace as well. At the further end of that, and at a higher cost is the recycler that is generally used in a more sophisticated setting where they actually recycle cash within the store or the retail operation. So it sells at a much higher price maybe a price point as closer to $40,000 to $50,000 - $60,000 and is a more sophisticated piece of equipment probably offering more ability to reduce headcount and cost savings as compared to the smart safe or the CompuSafe that's closer to the $5000 range. So the combination and there are differences, we were talking about a large sale in the fourth quarter we announced that at the end of at the third quarter conference call for a large retail chain that we are very pleased to finalize that, and that will provide us fairly significant ongoing what we call ongoing high margin recurring revenue streams similar to but at a higher level, a different scale if you will as compared to the CompuSafe, which again provide the same sort of thing. A typical CompuSafe is sold with a five-year recurring revenue stream associated or payments for the services that include CIT money processing and the monitoring and the cost of the financing of the safe. Does that help?
Ashish Sinha: Yes that's helpful and in terms of the economics, customer can essentially either buy it or leave it from you. Is that how it works?
Doug Pertz: Yes that is how it works although our primary offering is the offering of a full monthly payment over five year period of time that includes the combination of the financing cost of the -- effectively it's a -- it could be active -- or it could be we buy it and it's CapEx for us, or we finance it through a lease and then we just effectively back-to-back the payments on it and we make the money off the payments. We then have maintenance that goes along with that. But we have the other services too. It's monitoring of the equipment. It's the guarantee of instant daily credits. We also guarantee any risk associated with losses. So those are all packed pieces of a package that are much different than if they just buy the safe and handle it themselves. And then again obviously it's packaged together with our CIT and money processing services.
Ashish Sinha: So if you could give us a ballpark of what are we looking at in terms of dollars per month if somebody was to go for CompuSafe versus a recycler?
Doug Pertz: I will give you range, but I don't really want to have a specific, but look for something in the $4500 to $5000 a year on the revenue streams associated with a CompuSafe and anywhere from $18,000 to $20,000 a year for a high end recycler.
Ashish Sinha: Understood. Thank you very much.
Operator: The next question will be from Jeff Kessler of Imperial Capital. Please go ahead.
Jeff Kessler: Thank you. Can you talk about what additional services you've been able to provide to both Canada and Mexico that would help them to stay if you are trying to get a, if you want to say a North American wide strategy. Will CompuSafe and cash recycling services be added to those offerings? And one truck or one person trucks be added to those offerings in spots, particularly because there is no, you've got a significant competitor in Mexico, you've got a significant competitor in Canada. To what extent can you go to make yourselves more efficient, but also to what extent can you go to unify or take the United States as a petri dish, so to speak, and bring that into the adjacent countries?
Doug Pertz: Yes. So that's a multi-prong question. I’ll start off by kind of dissecting it by country maybe a little bit. We have talked about the structural differences in both Mexico and Canada, heavier in Mexico than Canada. So while we are say in the U.S. there aren't really major structural differences between us and the rest of the industry. It's a difference of strategy and just difference of investment and just in terms of execution of that strategy in the U.S. And now we are changing our strategy in the U.S. The execution of the investment and that's what's going to make the difference in the U.S. And CompuSafe is a key piece of this. The retail portion of our strategy in the U.S. is the key piece of this, obviously recyclers will be helping be similar to CompuSafe as a component of that as well. In Mexico, there is a structural difference and we are modifying that structural difference from the labor standpoint and that structural chain that we are making there is similar to the marketplace with our largest competitor in Mexico. So we are very pleased that we are able to work with our unions and our employees to accomplish that and move that forward and that's where we are going to be starting to see the benefits of this year and in the future years. Along with that includes optimization of routes and operational structures and also the reduction in some routes in the number of crew on our trucks as well. So it's a combination of all those things on an operational basis, that will yield significant improvements in our cost structure because the structural changes versus competition in Mexico that are already in place with the competitor. Now augmenting that is what we saw on the fourth quarter and what we will continue to see is that Mexico is a very very large retail market, very heavily cash driven in that retail market and offers as you have already seen good opportunities for revenue growth and it's also market that we think that the modified CompuSafe type strategy will also be a strong one in Mexico as well. So it's a cost side of Mexico, it's the structural piece that we are already addressing that will give us significant benefits going forward on the cost side as well as hopefully driving the revenue side there. In Canada, again it's something a little bit similar although not nearly to the extent or to the benefits that we will see in Mexico but it's a combination in some of the providence of Canada of moving from three person crew to two person crew on those trucks and our competition is already doing that today. So again the ability to do that. Driving in the U.S. again it's heavily moving to 1% crews as we roll out the new trucks both with the technology and the capacity to do that. On the labor side as well as the fleet cost savings associated with those new trucks and then the strategy to more aggressively pursue the retail side of the market with the CompuSafe and the recyclers which frankly is not a structural difference versus our competition but is the strategy difference and an investment difference which we are not pursuing historically.
Jeff Kessler: Okay. One other quick question and that is use of technology whether it is in anti-counterfeiting technology or whether it's in geo-location technology, to what extent have you been able to -- this has been around the ages for a while now, and I am waiting to hear you have to walk before you can run, the question is how far have you begun to penetrate geo-location marking not just parts in Europe but actual bills perhaps in the United States, things like that that will make your trucks more efficient and reduce cargo loss.
Doug Pertz: Yes there is actually two different areas you are looking at the risk and the how we track and monitor the risk associated with that. We are looking at that as an initiative but it's too early to release what we can where we will go with that on an economic basis. The second piece of that is the telemetries and the geo-tracking of our trucks. That will be part of what we do and we are rolling out across the border especially in our new trucks and our new IT systems, but that will be part for the safety of our liability but more importantly for the safety of our people and then the management and the efficiency of our route. That will tie in then with both the telemetries on our trucks and the U.S. will tie both in with the optimization of our routes, which are challenge and our desire and our objective is to do that on a dynamic basis which is be markedly different from what we have been doing in the past. And then also be able to use the telemetric information to maximize our operations efficiencies and minimize our cost of our fleet.
Jeff Kessler: Have you had any test yet to show exactly how much improvement in margin or just route efficiency you can get with this technology yet?
Doug Pertz: Yes but it's premature to really talk about it yet.
Jeff Kessler: Okay. All right. Okay. Thank you very much. Appreciate it.
Doug Pertz: Yes, thank you.
Operator: [Operator Instruction] The next question will come from Wayne Archambo of Monarch Partners. Please go ahead.
Wayne Archambo: Yes good morning. You talked in the prepared remarks about with the cash flow you're generating, potential investments in other businesses. It crossed my mind in any terms of any M&A activity. Have you considered outside acquisitions. And if you do, what would the criteria be and what type of businesses would you be interested in?
Doug Pertz: Good question Wayne, and we not only consider but we are aggressively putting together backlog of deals that hopefully we will be able to start executing on this year. Priority strategy wise, we would primarily be first priority in our core business and in current geographic locations. We all think those would offer us the ability to garner the highest number of synergies and the best return and best post synergies mobile. Second, it would be in our industry around that new geographies and so forth and that would include some of our [BGS] markets as well as our core cash businesses in geographies. And then second to that would be adjacent businesses that would help support and grow some of our other businesses. So you can think through geographically where we are positioned and how that -- how we are approaching some of that backlog and where we are going after that. I did say in my remarks and I think this is what I was trying to drive that maybe I will go a little bit deeper on this is that we are number one, in three of our top ten markets. We are number two, strong number two, I would suggest in seven of those ten markets. That number two position I think positions us such that we have the ability to do acquisitions in those markets and it also provides us a better opportunity versus a number of players to do those acquisition but it probably also gives us if we do those acquisitions the ability to garner greater synergies and margin improvements than the much smaller competitors that would be beneath our number two positions. So I think we are well positioned, because we are in so many relatively large markets. We are obviously the larger player than anybody else is I said 50% larger than anybody else in the global basis to leverage that use our balance sheet that's relatively under levered at this point in time to really start implementing that strategy.
Wayne Archambo: Could you think we can expect some activity this year sometime or?
Doug Pertz: Ron?
Ron Domanico: Yes.
Wayne Archambo: Okay.
Ron Domanico: Clearly it's a change in focus from where we were before and to be quite blunt if you look at the industry, our competitors have been growing their business through acquisition. And at least recent times we have not as much as we probably could or we should specially with our balance sheet. So it's a very I think important part of the overall piece of our strategy for growth.
Wayne Archambo: All right. Very good. Thanks guys. Thank you.
Operator: And the next question will be a follow-up from James Clement of Macquarie. Please go ahead.
James Clement: Yes. Good morning again gentlemen.
Doug Pertz: Hi.
Jamie Clement: As we enter a new reporting year, obviously you all inherited this quarterly reporting format with all of the information. Do you think this is the right way to be disclosing information and reporting earnings, or might we see some changes this year?
Doug Pertz: Jamie, we’ve been looking at that since actually before we arrived when we were doing our diligence and it appears that the company has a lot more segments than other companies of our size and complexity. And I am not sure that that complexity adds clarity for investors, so we have been working together to determine if there is a better way to report our earnings. If we consolidate segments, which is probably the direction we are leaning toward, we would certainly disclose the performance of units within those segments that materially impact the performance of the company in our dialog on these calls and other communications. But I believe that our filings including today's press release are exceptionally long and complicated and we also had the incremental value that we would be able to communicate with a simpler structure.
Jamie Clement: Is this something that you follow-up on March 2?
Doug Pertz: Yes. Yes. Absolutely.
Jamie Clement: Okay. Then I will let it go with that. Thanks very much.
Doug Pertz: Thanks. Yes.
Operator: And ladies and gentlemen, this will conclude the question and answer session. The conference has also now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.